Operator: Good afternoon and welcome to the Heritage Global Second Quarter 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to John Nesbett, Investor Relations for Heritage Global. Please go ahead.
John Nesbett: Thank you, and good afternoon, everyone. Before we begin, I’d like to remind everyone that this conference call contains forward-looking statements based on our current expectations and projections about future events and are subject to change based on various important factors. In light of these risks, uncertainties and assumptions, you should not place undue reliance on these forward-looking statements, which speak only as of date of this release. For more details and factors that could affect these expectations, please see our filings with the Securities and Exchange Commission. Now I’d like to turn the call over to Heritage Global’s Chief Executive Officer, Mr. Ross Dove. Ross?
Ross Dove: Thank you, John. Good afternoon, everyone. Welcome to our second quarter 2022 earnings conference call. Let’s start today’s call with Brian Cobb, our Chief Financial Officer. Brian will discuss the financial performance to date. Go ahead, Brian. You are up.
Brian Cobb: Thanks, Ross. As expected, we reported strong operating results in the second quarter with operating income of $3.6 million, improved profitability and EBITDA of $3.8 million. From my perspective, our financial performance during the quarter and the first half of 2022 can be summarized by the following. First, we have seen a significant increase in the number of principal transactions executed in our Industrial Assets Division evidenced by a 279% increase in asset sales for the six months ended June 30, 2022, as compared to the same period in 2021. This is primarily the result of a record number of industrial auctions held during the second quarter, as well as operations at American laboratory trading, which was not active as a Heritage business in the first six months of 2021. Second, we have realized increased services revenue during the second quarter due to an increase in financial asset volume industrywide. We saw an increase in spending, charge off, and delinquency rates beginning in the fourth quarter of 2021, which has started to materialize with increased revenues from our financial asset brokerage. Following suit, I would expect that our specialty lending group will see increased opportunity to deploy cash in the second half of the year and into 2023. And last but not least, we closed on the two remaining Huntsville transactions, which favorably impacted our operating income during the quarter by approximately $2.6 million. As we’ve stated previously, strategic real estate partnerships have generated high margins for us, and we plan to continue periodically purchasing real estate as part of the assets we acquire for resale. Most recent of which was the acquisition of two pharmaceutical plants in Missouri, formally Nesher Pharmaceuticals. On a consolidated basis, operating income for the quarter was $3.6 million compared to $73,000 in the second quarter of 2021. Operating income in the Industrial Assets Division was $3.3 million in the second quarter of 2022, a significant increase as compared to $433,000 in the second quarter of 2021. In our Financial Assets Division, we saw growth of 156% to $1.2 million in operating income compared to $462,000 in the second quarter of 2021., Net income was $2.6 million or $0.07 per basic and diluted share compared to net income of $587,000 or $0.02 per basic and diluted share in the second quarter of 2021. We reported strong adjusted EBITDA of $3.9 million for the second quarter 2022, up from 239,000 in the second quarter of 2021. At June 30, 2022, we had aggregate tax net operating loss carry forwards of approximately $78 million, a considerable amount that will prove to be a valuable asset to the company as we continue to grow our profits. Finally, our balance sheet remains strong with stockholders’ equity of $36 million as of June 30, 2022, compared to $32.6 million as of December 31, 2021 and a networking capital of $10.5 million. With that, I’ll now turn the call back over to Ross.
Ross Dove: Thank you, Brian. So this is a really fun call for me. I’m really proud of our team and our performance. There is a time when you just got to really say everything is working as planned. It doesn’t mean it’s always going to work as planned. It doesn’t mean that the hard work is over with or that all of our goals are accomplished. But it does mean right now that Heritage Global is firing on all cylinders. Everything is working in all five revenue streams, and it’s a team that has worked very hard, very diligently for a long time to put all the pieces together at the right time in the right place and that’s us today. Let me walk you through why I believe that why I believe that we’ve hit the stride where this kind of performance is sustainable, both near term and long term. I’ll do it division by division. We – as you know, we have two different income streams, a Financial Assets Income stream, and an Industrial Assets Income stream. I’ll start with our Financial Assets where as you know, we have two different entities NLEX, which is a brokerage that sells basically all kinds of non-performing loan portfolios and Heritage Capital, which is a specialty lender to the companies that buy those kinds of asset portfolios. What’s happened with NLEX is it was slowed during the pandemic, but we’re now hitting post pandemic strides. And we’re back in a growth mode. Our income is very much tied to the macro economy and the increase that’s basically been month after month and now quarter after quarter. And the amount of borrowings that are being done is basically converting into more defaults and more charge-offs as volumes have risen and as volumes on consumer debt continue to rise. Our product launch is continuing to grow. We’ve added new clients and our existing clients have added more products and more services to us. So that in the end, NLEX is actually at a point in time where I think it can actually beat its post pandemic highs that tied into the fact that about a year and a half or two years ago, we opened up Heritage Global Capital to lend that business wasn’t growing as fast as we’d hoped during a pandemic when most of the assets were being sold to the large public companies and the people buying borrowing from us were basically not that strong in the market as they are today. Today, we have a record number of onboarded companies and those companies are actively using us. So we’re seeing growth on both ends of the financial spectrum and we think that growth is sustainable, as we think the consumer spending is continuing to rise. Let’s shoot on over to industrial. In industrial, we’ve had a record back to back several quarters of principal deals where we’ve made high margins. On top of that, our fully integrated acquisition of American Lab Trading is really launching us into higher heights than we’d initially even predicted. What’s happened there is, there’s an enormous synergy between American Lab Trading and our auction division where American Lab Trading before only acquired assets, it could put into inventory. So it was pretty restricted on what it could buy because basically it had to find assets that would fit into inventory and trade out of their ongoing operations today because they have the diversification of the auction division and the ability to look at a far wider array of assets, where we can put some assets in inventory and then simultaneously liquidate other assets real time, expediting the ROI. We’re now looking at many more portfolios, we’re bidding on many more portfolios. Our recovery is much quicker on a lot of the portfolios because we’re bifurcating the assets into inventory assets and auction assets and the auction assets oftentimes produce enough revenue that the inventory assets are on the books at a very low dollar value. And we’re able to monetize those more rapidly and give even more attractive opportunities to our buyers. So because we have a growing refreshed inventory, we’re gaining more traction with our buyers and because ALT is finding assets for our auctions, our auction platform is simultaneously growing. So we’re hitting it all on all fronts on industrial there. Our third industrial group and final group is our valuation practice. As there is some fears that we’re moving into a recession that most of the money center banks and a lot of the asset based lenders are getting more and more concerned about asset based values and not just enterprise values. And we’ve seen an uptick in our usage as more people want to know what the actual market value is of their assets. Overall, both financial and industrial are in full swaying and full stride. We had a record Q2. We believe that that is sustainable and that we’re going to see a fantastic Q3 and a record breaking year this year. We’ve basically given guidance that we believe this will be the best year in the history of the company. And I’m here today to tell you that I’m more and more positive, that is true and more and more bullish on our future than I have been in any other time. So thank you very much for hearing me out and everyone have a great day.
Operator: We will now begin a question-and-answer session. [Operator Instructions] And our first question comes from Mark Argento of Lake Street. Please go ahead.
Mark Argento: Hey, Ross and Brian. Congrats on a really strong quarter, obviously, this is your kind of market, so it’s fun to see you guys perform well. Just a couple of things I was wondering, Brian, could you help us better understand when you have some of the – Huntsville, revenue, the real estate revenue kind of how does that work through the P&L? I’m just trying to better understand the impact there and understand how that kind of makes it way through the numbers?
Brian Cobb: Yes. So the first thing to really understand, I think for you is the Huntsville deal as a whole was kind of unique in the sense that we bought a large campus three buildings with machinery and equipment. However, the real estate portion of that deal was housed in the joint venture and the machinery and equipment was not. So there’s a little bit of complexity there. We also have some costs that have been incurred outside of that joint venture. So accounting wise, a large part of our earnings in Q2 were due to the closure of those two buildings. But the there’s also P&L impact above in asset sales – cost of asset sales. So net impact for that deal specifically to operating income was $2.6 million,
Ross Dove: Not $2.6 million in total profit for the deal. $2.6 million recognized in profit for the quarter, the deal brought in substantially more, but a lot of the revenue was recognized in prior quarters. So it is now a complete finite finished deal. And that’s pretty much the end of the revenue. There might be a small amount trickling in going forward, but we’re pretty much done with that deal now, Mark.
Mark Argento: Got it. That’s helpful. And then I think you had mentioned Ross in your previous or in your prepared remarks, maybe it was Brian that you guys just took down another some additional real estate, is that a similar type of transaction in terms of the setup and how that might flow through as well as liquidate those buildings?
Ross Dove: It’s very similar and the reason we bought it, the theory behind the acquisition, the financial structure is a little different. But ultimately we believe it’ll produce the same kind of profits and we’re very excited about it. We’ve already sold a substantial amount of the capital assets to tangible machinery and equipment. And we’re now working through the process of selling the buildings. It was also done in a partnership with some industry peers, and we think a lot of the revenue will be recognized over the next three to nine months,
Brian Cobb: And just also to add, this is a deal that’s more straightforward than the Huntsville deal that we just talked about. And so a lot of the earnings, a 100% of the earnings should flow through the equity method line.
Mark Argento: Yes, that’s helpful. And then just touching a little bit on the NLEX business, the financial assets business, that’s a business that we had been – you had been talking about and looking for a tail end, looks like we have that tail end. Can you talk a little bit or at least try to help quantify maybe the pipeline or the activity you’re seeing in terms of like either number of portfolios or and new customers you’re onboarding, just give us something to better understand kind of how that’s shaping up?
Ross Dove: I sure will. When I was talking for the last five or six months about being bullish on the future of that business, it’s because we really do see the early warning signs here because we basically are the back end where the bottom half of the last of the mile of the supply chain. So first you start seeing a rise in consumer spending that follows by a rise in defaults eventually because more spending just by prima facie evidence produces more defaults, ultimately more defaults convert to more charge offs. And then after there’s more charge offs, finally, there’s the disposition of those charge offs, which falls into our brokerage activity ultimately then when there’s an acquisition of those charge offs and the people that we’ve onboarded are the purchasers, it then flows into our lending business. So it took about six or nine months of growth in the volumes for us to hit stride. We’ve now hit stride where we’re looking at a very strong Q3 and very strong Q4, not just because we’ve added some new clients, which we have, but because our incumbent clients now have more supply. And as they have more supply, more supply flows through our channels. There’s also been a growing pressure for ESG in the environment of the financial world, where they want to show more transparency. So a lot of the sellers that were selling direct in the past now want to work in an open market where there’s competitive bidding and they’re reassuring everyone that they’re getting mark-to-market values. So we think there’ll be an increase in the amount of people to use third-party brokers in competitive processes.
Mark Argento: Got it. All right. It’s helpful. And just one last one for me, and I’ll jump back in the queue. I know…
Ross Dove: We’ll give you two – we’ll give you two more questions, Mark, if you want.
Mark Argento: Will give me two more?
Ross Dove: Yes.
Mark Argento: I appreciate that.
Ross Dove: Special offer today. Special offer today. We’re feeling generous.
Mark Argento: All right. Just quickly, so deploying capital, obviously with the financial assets, more portfolios out there, more opportunity to fund buyers of these portfolios. Where are you at in terms of lending? How much capital or how much capacity do you have or how much capital you got at this point in that in that book?
Ross Dove: To date, we’ve funded along with our partners. To date, we funded $40 million since inception. We’re hopeful that we can double that within the next year to get to $80 million to a $100 million. We have the capital in place right now to do that with our partners, with our hedge fund partners, we’ll be announcing very soon our new deal. But I can tell you in advance that we have the capital ready to go. We’re able to deploy pretty much what we need. We’re very fortunate that we have really strong cash flow right now. So our own balance sheet is growing and we’re able to deploy our own capital along with partner capital. We’ve renewed our line with C3 bank. Our line is at zero right now, and we have $10 million of capacity on that line on top of the hedge fund funding. So we see clear sailing for the next 12 months. Sometime down the road, if we like the value of our enterprise, we would be potentially looking at raising capital, but right now that’s not a consideration today. We think we’re fine as is.
Mark Argento: Ducktails, they’ll take the last one then since you give it to me, looks like you bought a little stock back in the quarter. Any reason you might not be a little more aggressive here with the buyback, that’s it for me? Thanks.
Ross Dove: As far as more aggressive, I guess the answer is yes, our intention is to continue the buyback. When we – when our Board approved the buyback program, they approved it for some longevity, not just for a very brief period of time. So it’s an ongoing buyback program where we still have available capital allotted to the buyback. We’ll follow the stock and we’ll make real time decisions. But at this time we still believe that there’s real value in our stock. And we’re still very bullish on a personal ownership of it as an entity.
Mark Argento: Thanks guys.
Ross Dove: Thank you, Mark. Appreciate the call.
Operator: [Operator Instructions] And our next question will come from Michael Diana of Maxim Group. Please go ahead.
Ross Dove: Hi Michael.
Michael Diana: Hey Ross. So on the financial assets for the last since you’ve been talking about, you’ve been talking about FinTechs and buy now pay later and in the release, I noticed you talked about credit cards. So I assume all these are sources now of your charged off assets.
Ross Dove: Credit cards and auto loans have been basically a staple for a decade before the FinTech. And obviously before the new BNPL. And it looked like in the pandemic that the growth we’re seeing was in the FinTech where every month they announced a new a $100 million or $200 million from a new entity that was lending along with the insurgents of the BNPL. But now it looks like there’s growth across the board. We’ve seen a dramatic increase in the rise of credit cards and the rise of credit card product flowing to us along with auto product. And most recently over the last, I’d say four or five months, we’ve seen a real steady increase in what we’re doing now with real estate to where there’s a growth in the non-performing real estate loans we’ve been selling too. So we’re not just tied to kind of the new age FinTech and BNPL kind of all of our old school products are growing simultaneously. So we’re really bullish on the next year kind of across the board with all of our products.
Michael Diana: Okay, great. That’s what I thought. Okay. Thank you.
Ross Dove: Thank you, Michael. Have a great day.
Operator: The next question comes from Chad Stauffer [ph] of a private investor. Please go ahead.
Ross Dove: Hi, Chad.
Unidentified Analyst: Hello, hello. Congratulations on a great quarter. I just had a question on some of the loan charge offs from banks with CECL requirements coming in right before COVID. I know it didn’t really change anything, but now that we’re seeing them have to set aside more funds, is that increasing? I think I was surprised how quickly you guys are seeing a pickup in your charge off loan auctions. Is CECL requirements on banks, pushing them to get them to you faster. And if so, is that improving the – like the quality and the rate you’re going to get for those charges off loans and [indiscernible] 
Ross Dove: Yes, some of it is coming from banks, but I don’t think it’s so much FDIC or credit regulatory pressure. I think a lot of it is basically kind of a social decision that during the pandemic, there was a holdback on lenders not wanting to appear to be the grim reaper and put a lot of sell side orders in when they really didn’t want collection agents and putting a lot of stress on people that were at work. And now that pretty much people are going back to work, pretty much the pandemic isn’t as really solid an issue. I think a lot of these lenders have just held back putting product on the street, have now kind of growing amounts of non-performing loans. And as their loans grow, there is pressure to monetize them. That’s a little greater than it was say a year ago. So we’re just seeing kind of more activity across the board Chad.
Unidentified Analyst: That sounds great. I appreciate your filling in on everything. Congratulations again.
Ross Dove: Well, thank you very much. And thanks for following us.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ross Dove for any closing remarks.
Ross Dove: So I’d like to thank everybody for listening in. I’d like to thank all of our shareholders for sticking with us through a pandemic and for having faith that we were going to come out of it stronger and better and more solid and on a real growth trajectory. As I said in the earnings call today, I’m really proud of our people and I’m really proud of our performance. And our goal is to keep on going to keep on working hard and to keep fulfilling our commitment to all of our employees, to all of our clients and to all of you that we’re in a – the right place at the right time, doing the right things to continue servicing this marketplace and growing. And we’re very optimistic about the future. And we welcome all of you as shareholders. We welcome all of you as followers, and we’re very thankful for anybody who’s paying attention to us. So thanks a lot and everyone have a great day.
Operator: The conference is now concluded. Thank you for attending today’s presentation and you may now disconnect.